Operator: Good morning and welcome to the Iron Mountain Earnings Conference Call. [Operator instructions] Please note that this event is being recorded. I would now like to turn the conference over to Greer Aviv, SVP, Investor Relations. Please go ahead.
Greer Aviv: Thank you, Irene. Good morning and welcome to our first quarter 2021 earnings conference call. On today's call, we will refer to materials available on our Investor Relations website. We are joined here today by Bill Meaney, President and CEO and Barry Hytinen, our EVP and CFO. Today, we plan to share a number of key messages to help you better understand our performance, including our strong start to 2021, despite the ongoing impact of the pandemic; the continued execution of our strategic plan; solid progress in our key growth areas; continued expansion of our global data center platform; and our strong commitment to corporate social responsibility, including diversity, equity and inclusion. After our prepared remarks, we'll open up the lines for Q&A. Today's earnings materials will contain forward-looking statements, including statements regarding our expectations. All forward-looking statements are subject to risks and uncertainties. Please refer to today's earnings materials, the safe harbor language on Slide 2, and our Annual Report on Form 10-K for a discussion of the major risk factors that could cause our actual results to differ from those in our forward-looking statements. In addition, we use several non-GAAP measures when presenting our financial results. We have included the reconciliation to these measures in our supplemental financial information. With that, I will turn the call over to Bill.
Bill Meaney: Thank you, Greer, and thank you all for taking time to join us. I hope you and your families are safe and well. We are pleased to have delivered a strong start to the year with both revenue and profitability coming in ahead of our expectations for the first quarter, despite the ongoing challenges of the pandemic and continued lockdowns in many parts of the world. Some of the key accomplishments of the quarter include, we achieved a record level of quarterly revenue, pricing continues to yield strong results as highlighted by our organic storage rental revenue growth of 1.7% year-on-year. Total organic volume grew some 2 million cubic feet versus last quarter and we continue to forecast overall volume growth to be flat to slightly positive for the year. We saw strong performance from our growth areas. For example, digital solutions is showing year-over-year organic growth of 11%, while secure IT asset disposition or SITAD has shown 30% growth. We are in line with delivering over $50 million of revenue growth from these two dynamic areas this year. Our global data center team leased nine megawatts in Q1 versus our guidance of between 25 and 30 megawatts for the full year. We continue to grow our footprint acquiring a new land parcel adjacent to our campus in Northern Virginia, which will increase our total potential capacity in that key market to 145 megawatts bringing our total potential datacenter capacity globally to 445 megawatts. Finally, adjusted EBITDA grew 2% year-over-year on a constant currency basis and our margin expanded 100 basis points. It should be noted that Q1 this year is even more impressive given that we are comparing it to a year ago where COVID, for the most part, was affecting very few of our customers. Whilst the impact from COVID during this quarter continues with many of the 56 countries we operate in to be in various stages of lockdown, we are proud of the consistency and stability of our core business and we continue to deliver on our strategic plan. This reflects the diversity and scale of our portfolio, the depth and breadth of our service offerings and the efficiencies that have been created through project summit. To further underline the point, our sales productivity remains strong and our mountaineers persevered, resulting in Q1 overall revenue slightly ahead of last year, whilst our traditional service revenue, which is most closely tied with being in the office was off 7%. We continue to expect to see very modest improvements in core service revenue as we progress through the year and we are not factoring in a full COVID recovery for the traditional side of the business before Q4 and perhaps for some parts of the world, even Q1 next year. In the meantime, we can see in our results and our improved guidance, our growth from new product areas will continue to deliver overall growth in our business in spite of the COVID impacts elsewhere. We remain committed to taking purposeful and bold steps to transform our entire organization, both operationally and culturally. We remain true to our plans to accelerate growth and continue our digital transformation journey, which for us includes both an internal focus as well has expanded product offerings for our customers. We are confident that our continued delivery of overall revenue growth, together with the expansion of margins due to Project Summit will enable us to continue our acceleration and cash generation which will allow us to continue to invest in our future whilst returning more and more cash to our investors. Project Summit is well on track to deliver $375 million of annual run rate adjusted EBITDA benefits exiting this year, even after investing in new growth areas. In addition to adding $375 million to our EBITDA through margin improvement, Project Summit will continue to enable us to invest in the growth areas we identified and discussed last quarter, further accelerating our growth in revenue as well as profits. Some of these areas you will recall include digital solutions, consumer storage data center and SITAD. Examples to illustrate the impact of our focus on revenue growth can be seen from recent wins in digital services in SITAD. One recent win in digital services was with a global insurance company, which was managing its exposure from a large and complicated liability claim. This customer desired end state was to streamline underwriting and claims management processes by providing digital accessibility to records to quickly identify risk exposure, reduce processing times, improve SLAs, ensure chain of custody and gain scalability for large discovery audits. Our unique solution was to integrate 440,000 of their physical boxes with their digital information to provide a single view to search across and identify relevant and required information on demand. By leveraging our insight platform, we were able to immediately improve their legal discovery efforts and automate their claims processes. Another recent win was with the Government of Canada to leverage our Image on Demand or IOD solution to process applications for immigration, refugee or citizenship status. The government experienced a backlog during COVID, as staff could not access offices and applications kept piling up. This digital solution enabled the government staff to work through the backlog. We are currently imaging more than 4000 applications on a weekly basis, which are then digitally delivered for processing by the Government of Canada's employees. Switching to SITAD, this quarter, we have secured contracts with for large global clients to provide services across the globe. These engagements cover everything from enterprise infrastructure, such as servers, routers, switches, printers, copiers, to small personal devices and specialized equipment such as card readers. Our solutions in SITAD are the only ones on the market built around a secure chain of custody where assets attract at every stage of their journey, and our customers' data is kept secure. Also, our disposition process is built with sustainability in mind. We are a leader in thinking and acting for the environment. Demand for these services is particularly strong as companies look to consolidate and transform their physical footprint to move to new hybrid collaboration models post COVID and we expect to partner with many more of our enterprise and global clients throughout 2021 and beyond. Now, let me switch gears and spend some time discussing our ESG commitments including the sustainability of our products, services and operations, as well as our efforts focused on diversity, equity and inclusion. Our Eighth Annual Corporate Social Responsibility report will be published later today. In that report, we share sustainability goals as part of our ESG commitments to reduce our environmental impact. Whilst we have been extremely successful in achieving targets that were previously said, including exceeding our science-based targets to reduce greenhouse gas emissions six years ahead of schedule, we are introducing even stronger commitments to our planet, our customers, our employees and our communities. Some highlights include we are committed to achieving carbon net zero by 2040, 10 years ahead of the Paris Climate Accord. We are proud to be ranked number 81 on Newsweek's list of America's Most Responsible Companies in 2021. By 2025, we are committed to building all of our newly constructed multi-tenant data centers to be certified to the BREEAM green building standard. In addition to contracting for renewable energy equivalent to 100% of our data center electricity load worldwide and passing through the carbon reduction benefits to our customers who avail themselves of our green power pass, we have announced our first electricity supply contract that matches our load 24/7 with local renewable generation for our facilities in New Jersey and Pennsylvania. Additionally, we shared with you our recommitment to diversity, equity and inclusion, not just because it is just but also because it is key to our strategic success and being a more creative and dynamic organization, which can deliver more value in tune with our customer needs. For example, by 2025, we have committed to increasing representation of women in our global leadership team to 40% from 31% today, and people who identify as BIPOC in our US leadership team to 30% from 19%. Thanks to the true commitment of my fellow mountaineers across the globe, and with the guidance and engagement of our employee resource groups, we have made significant progress on our journey, but have a lot more to do. To further us on our journey, I'm pleased to announce that we have recently recruited Charlene Jackson as our Global Chief Diversity, Equity and Inclusion Officer. Charlene brings a strong set of experience and skills as we continue building our global enterprise into an organization which is both diverse and inclusive. Finally, before handing the call over to Barry, I would like to provide a bit more information on the data center performance. As I mentioned earlier, our global data center team is off to a strong start leasing more than nine megawatts in the first quarter. As you likely saw, this included six megawatts with an existing US-based Fortune 100 technology company. We also signed a one-megawatt lease in Singapore with a leading e commerce end gaming company. The remainder of the leasing for the quarter was co-location and we continue to build our pipeline for both hyperscale and retail deployments. Subsequent to the end of the first quarter, we closed on our joint venture with Web Werks, and have already seen great growth prospects from that partnership. Web Werks recently announced that they have acquired a land parcel to build a standalone purpose-built Greenfield data center in Mumbai. This new data center will be designed to support 12.5 megawatts of IT capacity with a rich, interconnected ecosystem consisting of major telcos, over 150 internet service providers, and three major internet exchanges. The new facility expected to be operational by mid-2022 abuts Web Werks existing data center in Mumbai, which would result in a campus with 15 megawatts of total capacity. We also continue to grow our platform organically with the recent purchase of a land parcel adjacent to our existing Northern Virginia campus. This parcel is expected to support 32 megawatts of IT capacity at full build out. In addition, we redesigned our Manassas Campus master plan and can now support 30 megawatts of IT load at VA-2 compared to 24 megawatts previously, as well as an additional 35 megawatts of capacity at the campus. With these designs and scope changes, our NOVA campus capacity has increased more than 90% to 145 megawatts with 16 megawatts built in 72% of that leased. Our total data center potential capacity globally now is 445 megawatts and/or an increase of more than 18%, giving us a long runway for future development and growth. In closing, let me say thank you to our mountaineers and their families for their continued support and dedication in what has been a difficult and heart wrenching year for many. We and our customers count on our essential workers every day. And I personally always come back inspired after meeting with many of our teams around the globe. Our results demonstrate accelerating earnings growth, the resiliency of our business, revenue growth in new areas and the benefits of our culture. Our culture supports customer first with an innovative mindset. With that inner DNA, we will continue to climb higher together with our customers. With that, I'll turn the call over to Barry.
Barry Hytinen: Thanks, Bill and thank you for joining us. In the first quarter, our team delivered solid performance that exceeded expectations across each of our key financial metrics. Building on the improved performance we delivered in the second half of 2020, revenue trends continue to strengthen in the first quarter. Our core physical storage business is demonstrating its resilience and momentum is building in our growth areas. We are confident in our projections and are pleased to raise our full year financial guidance. Turning to our results for the quarter. On a reported basis, revenue of $1.1 billion grew 1.2%. Total organic revenue declined 60 basis points. Organic service revenue declined 4.8%, a marked improvement from prior quarters representing our best performance since the first quarter of 2020. While our service activity is still experiencing an impact from COVID, March was the first month since February 2020 with positive organic service revenue growth. Our team continues to drive improving trends with growth in our global digital solutions business and revenue management notable call outs. Total organic storage rental revenue grew 1.7% with continued benefits from pricing, combined with a slight increase in volume. Adjusted EBITDA was $381 million. We exceeded the projections we shared on our last call, as the team delivered stronger margin flow through together with the revenue beat. First quarter EBITDA reflects progress on our Summit transformation and revenue management, offset by COVID driven impacts to the business. AFFO was $235 million or $0.81 on a per share basis. As we mentioned on our prior earnings call, AFFO reflects an increase in recurring CapEx as we catch up on some projects that were deferred during the pandemic. Our full year recurring CapEx guidance is unchanged. Turning to segment performance. In the first quarter, our global RIM business delivered revenue of $967 million, an increase of $11 million from last year. On an organic basis, revenue declined 80 basis points. The team performed well with constant currency storage rental revenue growth of 1.7% or 1.6% on an organic basis. Growth was driven by pricing and volume. While our traditional services have been impacted by the pandemic, trends continue to improve during the first quarter. We are focused on expanding our global digital solutions business and in the first quarter, we experienced strong growth building on the commercial successes we delivered in 2020. We are pleased with the continued performance in our consumer storage business. Even with normal seasonality, the business contributed nicely to our overall physical volume. Global RIM adjusted EBITDA was $409 million, an increase of $17 million year-on-year. Adjusted EBITDA margin expanded 120 basis points driven by pricing and Project Summit. Taking a look at headline numbers for our global data center business, we had another strong quarter of bookings with 9 megawatts. We are well on track to deliver our full year target of 25 to 30 megawatts. Total revenue grew 6% year-over-year, in line with our projections. As I mentioned on our prior call, we expect revenue growth in the data center business will be more back half weighted as the bulk of our 2020 bookings commence in the second quarter and beyond. We continue to project all year revenue growth in the range of low-double-digits to approaching mid-teens. With our strong prior year bookings, we have good visibility. In the second quarter, we anticipate an increase in both revenue and adjusted EBITDA compared to the first quarter. In terms of margin, we expect the second quarter to be down two to three points sequentially as a result of COVID driven construction delays and one-time build out services for a specific customer. We expect margins to remain at that level in the third quarter before recovering in the fourth quarter. In late April, we formed a joint venture with Web Werks, a leading co-location data center provider in India. We made an initial investment of approximately $50 million in exchange for a non-controlling interest. As we have previously disclosed, we expect to invest an additional $100 million over the next two years, which we expect will result in a majority ownership position. Turning to Project Summit, this quarter, the team delivered $50 million of incremental year-on-year adjusted EBITDA benefit. As a reminder, we expect Summit to contribute $150 million a year-on-your benefit in 2021, with another $60 million of year-on-year benefit in 2022. Total capital expenditures were $113 million, with an investment of 85 million of growth CapEx along with 29 million of recurring CapEx. Turning to capital recycling, in the first quarter, our program generated approximately $12 million of proceeds. With the highly favorable market backdrop and our strong data center development pipeline, we remain committed to recycling approximately $125 million of industrial assets for the full year. Turning to the balance sheet. At quarter end, we had approximately $1.8 billion of liquidity. We ended the quarter with net lease adjusted leverage of just under 5.5 times, slightly better than our projection and down from last year. As we have said before, we are committed to our long-term leverage range of 4.5 to 5.5 times. For 2021, we continue to expect to end the year within our target range near the high end, which will be modestly down from year end 2020 on a pro forma basis. With our strong financial position, our Board of Directors declared our quarterly dividend of $0.62 per share to be paid in early July. As we have said before, we are fully committed to our dividend at this sustainable level. Our long-term target for payout ratio is low to mid 60s as a percentage of AFFO. Turning to our outlook. Today, we are pleased to increase our 2021 financial guidance. There are two factors driving the improved projections. Our outlook for the business continues to improve with first quarter performance better than expected and increased confidence in our key growth drivers and the underlying business trends. Second, we've also factored in the benefit from two small recently closed acquisitions as well as the Web Werks investment. And I would note that we have been able to increase our guidance despite the ongoing impact of COVID on our traditional services business and construction delays in Frankfort. For the full year 2021, we now expect revenue of $4.365 billion to $4.515 billion. We now expect adjusted EBITDA to be in a range of $1.585 billion to $1.635 billion. At the midpoint, this guidance represents growth - of revenue growth of 7% and EBITDA growth of 9%. We now expect AFFO to be in the range of $955 million to $1,005 million and AFFO per share of $3.28 to $3.45. At the midpoint, this represents 10% growth for both metrics. Our guidance assumes global organic physical volume will be flat to slightly positive versus last year, our revenue management program will provide a significant benefit in 2021 and I will note that nearly all of the actions driving that benefit were in place by the end of the first quarter. For services, we are prudently assuming some measure of continued COVID impact, albeit the first quarter was another good proof point for the momentum building in our digital solutions business. While we do not typically guide quarterly, with the pandemic, we felt it would be helpful to share our expectations for the second quarter. We expect revenue to approach $1.1 billion and adjusted EBITDA to approach $400 million. We are confident in our outlook and the strength of our pipeline. We expect to grow revenue sequentially throughout the year. In summary, the year is off to a good start. I am confident in the team's ability to continue to build on our momentum. We feel well positioned. And with that, operator, please open the line for Q&A.
Operator: [Operator Instructions] Our first question is from George Tong of Goldman Sachs.
George Tong: Hi. Thanks. Good morning. Last quarter, you made a push into various growth markets. At this point, can you summarize how big your growth portfolio is? And how your growth expectations for this growth portfolio have evolved over the past quarter since doubling down into these areas of growth verticals and perhaps how much funding you would need to put into your initiatives in order to accelerate the growth in these in these growth markets? Thank you.
Bill Meaney: Good morning, George. Thanks for the question. So taking back, as you referred to, the last meeting, so over the last five years, we've been developing a number of new products and market approaches that really have taken us from a total addressable market where our products and services range from 10 billion to over 80 billion. So the things that we've been doubling down are consistent with that roadmap and picture that we highlighted last year, and that 80 billion, I should highlight, is also growing kind of low teens in terms of organic growth rate. So if you think about highlighted SITAD, for instance, in digital services today, I mean, I wouldn't say that we've just been doubling down on them in the last quarter, this has been a continuous build with I would say acceleration is part of Project Summit. And part of Project Summit, you're seeing the 375 million net EBITDA improvement that we are delivering and committing to. This is net of the investments that take us - that's required to actually invest in our digital services SITAD, our continued investment in data center, further acceleration in consumer, for instance. So the investment is already in there. The 375 million is a net number that's coming out. And I think you can expect, as we said today, if we just looked at SITAD in digital services this year alone that will add roughly $50 million of revenue on a year-over-year basis. So, we feel pretty good. Obviously, we just highlighted those two today, but across the board, and you can see it also in data center with nine megawatts leased in this quarter. So we feel pretty good about now aiming towards an $80 billion market in terms of revenue growth and that was part of Barry upsizing the revenue guidance for the full year.
Operator: Our next question is from Eric Luebchow of Wells Fargo.
Eric Luebchow: Hey, good morning. Thanks for taking the question. Just one on the guidance, I'm just wondering if you can parse out the guidance increase what's coming from really operational outperformance versus perhaps some slightly more favorable foreign exchange rates that you experienced in the quarter versus last year? And then, another question on the data center side, just wondering, if you look at future growth areas, are there potentially any new markets either domestically or internationally that can make sense for Iron Mountain to enter either via M&A or through new Greenfield development or do you think you're just going to continue to develop in the markets that you have today? Thank you.
Barry Hytinen: Hey, Eric. Good morning. It's Barry. Maybe I'll take the first one and I'll let Bill take the second one. I appreciate the question. As compared to our prior guidance, the increase of $40 million of revenue and 10 million of EBITDA is really driven by two factors as I mentioned on the call. First, it's our outlook on the business which just continues and improve, the first quarter performance I think is a testament of that. The team did very well - executed very well in the first quarter. And we're continuing to increase our confidence in our growth drivers and the underlying business trends. That's about $20 million of revenue in the guide up and probably seven - round numbers 7 million of the EBITDA. The second point is we factored in the benefit from two recently closed acquisitions, as well as the Web Werks investment. That's about combined $20 million of revenue in the year. Note that we acquired those in the second quarter, and then about call it 3 million of EBITDA. I'll remind people that the Web Werks acquisition is not consolidated, so there's no revenue that comes along with that in our financials. I would also just note that there's no change in our assumption as it relates to foreign exchange rates. So the rates that we're using and the impact of that on our growth that we had in our prior guidance is unchanged in the current guidance. So it's the underlying business performance together with the couple of small deals. Thanks for the question, Eric.
Bill Meaney: Yeah, the only thing I would add, Eric, in terms of other areas of growth for datasets - so I appreciate the question is, let me kind of parse it out into theaters or parts of the world. So if we look at domestic, as you know that we have a land bank in Chicago, we continue to like the Chicago market. So it's just a matter of where our priorities are in capital allocation. So I think you can expect at some point Chicago will be on the map. Also we continue to like the potential opportunities to repurpose some of our electricity meters, if you will, in California, where we can actually buy wholesale power, which gives us an advantage in terms of power costs, by taking a records management facility and repurposing that into a data center. So, California continues to be an area that we remained focused on as potential market for further development. On Europe, as we highlighted a few calls ago that we started building Frankfurt and then sold the thing out 100% of the 27 megawatts, so Frankfurt is a market that we continue to look at further expansion to it, because it's a key market serving continental Europe. London too, as we noted, is in full development but that's also looking to be pretty buoyant. So we'll continue to look at if we need more capacity in London. And then the last aspect I would say in London is we have had a few of our customers approach us on looking at edge deployments, and where we were considering actually repurposing some of our industrial real estate footprint into data center. So if you think about, we have a land bank for our data center business, which takes us up to 445 megawatts but that's not including the 80 million square feet of industrial warehouses that we have around the world, a number of those are suitable to be repurposed into data centers. So we continue to look at that mainly for as an edge kind of deployment, which can be anywhere from, let's say, from two to six megawatts. On the Asia front, as Barry highlighted and I mentioned in my remarks, we're super excited about the joint venture that we have with Web Werks. India, we think has a lot of potential and we're already seeing pent up demand, partly it's regulatory driven and partly, it's just the growth of the economy. So I think there's a lot more for us to do in India. As you would have noted that we're now 100% sold out in Singapore. So we're working through the permitting process on finding additional capacity in that market. And there were other areas in Southeast Asia, which I think are early days that we're looking at countries that would be interesting to expansion. And I would put Latin America in the same category is that there are a number of areas in Latin America that we're starting to look at, but we're at earlier stages for those areas.
Operator: Our next question is from Sheila McGrath of Evercore ISI.
Sheila McGrath: Yes, good morning. Bill, the short interest in the stock is down but it still looks elevated to reap. Certainly not something you can control but I was just - the concern has always been storage volume, given paper trends. Can you just give us your updated insights on how Iron Mountain is still growing storage volume, total revenue and effectively shifting to adapt your business to these changing trends?
Bill Meaney: Good morning, Sheila and thanks for the question. Yeah, I think also it is people really start understanding the durability of our business and also the ability for us to continue to grow organically, cash generation through top line growth. I think people are starting to realize that they probably overplaying the paper storage aspect of the story. So I mean to your point is that, you saw the records volume was slightly improved from Q4 into Q1. Overall, we reiterate our commitment that we expect physical storage in the business to be flat to up for the full year again on an organic basis, and then you add three points of price to it. So - and given the relatively slow growth of that business, there is not a lot of CapEx is going into it. So we feel really good because this is just effectively generating tons of cash, that we're able to plow over to invest behind some of those growth initiatives that are targeted at the $80 billion total addressable market that I mentioned before, as well as datacenter, which we've been increasing our capital allocation to over the last few years. So, I think over time, I mean, people are going to really understand that the physical volume - physical storage business is alive and well, and we're getting good price increase on top of that. And of course, as you alluded to some of the other new physical storage areas like consumer continue to deliver dividends, and then on the other aspect is the revenue growth is starting to pick up from the investments we've made over the last five years into new business areas, I think is starting to come through.
Operator: Next question is from Shlomo Rosenbaum of Stifel.
Shlomo Rosenbaum: Hi. Thank you very much for taking my question. I kind of want to piggyback on the last one, just in terms of the organic storage rental, on the one hand, the guidance is going up, you guys did better. The organic storage rental growth range embedded in the guidance, though, didn't change and I'm not sure if it was just kind of it's a rounding item or the growth is really coming outside of that. And I guess related to that is the sequential change in the physical records volume was the slowest decline I've seen over a while and I was wondering, if you could point to what's going on over there? Is there more of an influx of boxes, less of an issue with destructions, just you used to give more detail on a slide that's not in there anymore, maybe you can talk to these items.
Bill Meaney: Thanks, Shlomo. I'll talk about the physical volume side and then Barry can give you our thinking around the guidance around storage. So I think on the physical volume, if you've been watching this story for a very long time, I mean first of all, that the record storage is just one aspect of our physical storage business, right. And at the end of the day, it comes down to occupancy and our ability to drive cash returns for that business. So we feel that, I wouldn't say a large diversification, but a purposeful diversification of our physical storage business, I think you can even see that our data is showing the robustness and continuity of that business, which we feel really good about. Specifically to your question on the sequential Q4 to Q1 improvement in the records management side of the business, we're really pleased with it and that's why it continues to give our confidence that overall physical storage will be flat to slightly up for the year. And part of that improvement, which you can say during a COVID timeframe is kind of interesting, is really I give a lot of credit to our global strategic accounts organization, which we set up I guess, about 12 to 18 months ago, is their degree of mining and broadening the conversation with our customers is showing real results, not just in the new areas that I highlighted in my opening remarks around digital services in SITAD, which we've had, obviously, really nice growth in that area, but they actually is part of a broader conversation they're having with our customers, which quite frankly has delivered more box to our facilities as well. So, we feel pretty good across the board. We feel good about the different conversation we're having with our customers due to some of the investments we've made in our commercial operations. And Barry, you might want to talk about that.
Barry Hytinen: Hi, Shlomo, it's Barry. Thanks for the question. And I will say that there's an element of rounding and candidly, an element of conservatism certainly the year has started off well and is trending a little bit better than our expectations that I mentioned in the setup. I will note that that those percentages are organic. So while we have a couple of small deals that is a purely organic number. The growth is coming in quite balanced. So we're seeing improving trends on storage and service. So thank you for the question.
Operator: Our next question is from Nate Crossett of Berenberg.
Nate Crossett: Hey, good morning. Thanks for taking my question. Two quick ones, if I may. First inflation, how should we think about expense growth for the year? What are you guys seeing in terms of labor costs, input costs? And then two, just your current view on funding the growth areas of the business right now, in the past you've used TV [indiscernible] is equity/using ATM [ph] lever that you would consider using?
Barry Hytinen: Hi, Nate. It's Barry. Thanks for the question. So, we certainly did, as I mentioned in last call, include some level of what I would say is kind of normal inflation, the levels that were being talked about at the time. We don't see anything that is outside of our expectations that were embedded in the original guidance and that's part of the reason why we were able to continue to raise the guidance for the beat that we saw in the first quarter. I'll note that with our structure in our relatively high margins on both storage and service, it does result in with inflation, the opportunity to price that much more incremental profitability for us. And as you know we kind of price comparing to other logistics companies. So in some respects, it helps a little bit with our revenue management program. In terms of funding growth, a couple of thoughts. One, obviously, we're continuing to expand EBITDA, thanks to Summit and the team's underlying performance, we will be doing a level of capital recycling this year, call it $125 million is what's embedded in the guidance. I'll note that the market there is very favorable and we continue to like cap rates. And so those would be the principal things I'd mentioned in terms of where the yield is and where the stock is. We feel very good about our ability to fund our operations within our framework and so we'll be funding from things like recycling and the growth in EBITDA.
Operator: Our next question is from Jon Atkin of RBC.
Jon Atkin: Thanks. So, I guess a commercial question, and then more of an M&A question. I was wondering, as you think about your leasing objectives, where you see the greatest potential in your supplemental, there's obviously a very good layout of your pre-stabilized portfolio, the expansion pool, and new development. I can imagine any one of those three would be potential sources of new pre-leasing or leasing. But within those three categories, is there one or two that kind of standout as - of those categories that stand out as to where you see the most potential for these through the balance of the year?
Bill Meaney: Thanks, John. Good morning. Thanks for the question. We think about it kind of two different ways. So, if you look at say, in the US, some of our two really large campuses, which would be obviously Northern Virginia and Phoenix is a lot of our expansion and development in those sites is driven by line of sight to customer conversations that we're having, which you can imagine, because those are large campuses that attract a lot of attention from customers, both on the co-location as well as the hyper-scale side. If we look at some of our European markets, it's more just based on the dynamics and the absorption versus the level of capacity in those markets, like places like Frankfurt, London, etc. So I think it's kind of two different worlds. And then the same thing in New Jersey, it's a high reasonable levels of absorption with the right balance of supply. So I think it's a mix, there are some cases where it's purely on market dynamics. And there are other areas where we really liked the conversations we're having with a number of customers, especially around some of our large campuses.
Jon Atkin: Okay. And then if you could maybe just refresh us on going forward interest level in inorganic expansion, and so whether that's sale leaseback private read portfolios, shells that are occupied by cloud players, and so forth. I think there's been a little bit of cap rate compression recently, for instance, in the US, but just interested in any updates or thoughts on types of M&A that you would continue to entertain?
Bill Meaney: Okay. Yeah, there's kind of - I think I understand two parts of your question. So first of all, on the M&A, we feel really good about the platform that we have, as it is today, so we don't anticipate any large M&A. I mean, they're obviously - the Web Werks in India is what I would call a more of a brownfield situation where it's a smaller M&A deal that gives us a platform for further Greenfield build out in what we think is a really interesting and high growth market, just like we did EvoSwitch a few years ago in the Amsterdam market, right, which again was kind of a brownfield. So, if we're talking about those kinds of things where we do a make versus buy situation for entering into a market or expanding in a market, we will continue to look at those kinds of what I would call small M&A deals. But, large platform M&A deal, we don't see we really have the need. I think partly, we are already in 56 countries for many decades as an operator, so we feel we have good cultural fit in the countries that we operate in. And we already have a pretty good international spread across our data center business, so we feel really good. On the capital allocation question I would just reiterate with what Barry said before is, we feel that between EBITDA growth and opportunities to recycle capital, like what we're doing in our industrial portfolio where the cap rates are, we think, really low. We like that trade of trading in exposure on industrial right now and putting more capital at work in data center.
Operator: Last question is a follow up from Sheila McGrath of Evercore.
Sheila McGrath: Yes, two quick questions. Margin improvement of 100 basis points was a positive, how should we think about that, as the year progresses? And is more of the improvement on cost of sales or SGA? And my second question is Bill, you mentioned existing own sites could potentially be repositioned as for data center. Just wondering, have you done that already or is anything underway?
Bill Meaney: No, thanks. So, Sheila, I'll answer your question on the edge data center deployments using our existing footprint. At this point, it's only a conversation. So there are a couple specific sites that we're looking at in Europe at the moment with customers but it's still early days, I would say. But I'm encouraged by the conversations we're having there and the flexibility that our industrial real estate footprint potentially gives us down the road.
Barry Hytinen: Sheila, thanks for the question. It's Barry. Couple of things. Certainly, as we move into the second quarter, we're looking for EBITDA to be approaching 400 million, which is very nice growth rate and reflects, to some extent, of course, last year's COVID impact. And as you work through the model, you'll find another continued nice growth in EBITDA going forward. I will say, I think a notable call out, frankly, in the first quarter, is the fact that our cost of sales are actually down about $15 million, despite sales being up. And that is a testament to the team's strong progress on Project Summit. As we talked about before, Project Summit in 2021 is vastly going to be benefiting cost of sales as opposed to SG&A, just in light of the sorts of operational improvements that we talked about and highlighted, such as service delivery, changes, etc. And so you really saw that starting to come to fruition in the first quarter with the vast majority of that Summit benefit year-on-year that I called out being in cost of sales. And that's a trend that we expect to continue for the remainder of the year. Appreciate the questions, Sheila.
Operator: Ladies and gentlemen, that concludes the conference. Thank you for attending today's presentation. You may now disconnect.